Operator: Good afternoon, and welcome to Model N's Second Quarter of Fiscal 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. With that, I would now like to turn the call over to Carolyn Bass, Investor Relations. Thank you.
Carolyn Bass : Good afternoon. Welcome to Model N's Second Quarter and Fiscal 2023 Earnings Call. This is Carolyn Bass, Investor Relations for Model N. With me on the call today are Jason Blessing, Model N's Chief Executive Officer; and John Ederer, Chief Financial Officer. Our earnings press release was issued at the close of market today and is posted on our website. The primary purpose of today's call is to provide you with information regarding our second quarter of fiscal 2023 performance and offer a financial outlook for our third quarter and fiscal year ending September 30, 2023. The commentary made on this call may include forward-looking statements. These forward-looking statements are based on management's current views and expectations as of today and should not be relied upon as representing our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlook. Actual results may differ materially. Please refer to the risk factors in our most recent Form 10-Q filed with the SEC. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from, GAAP results. Reconciliations of the non-GAAP metrics to the nearest GAAP metrics are included in the earnings press release issued today, which is available on our website. I encourage you to visit our Investor Relations website at investor.modeln.com in order to access our second quarter fiscal 2023 press release, periodic SEC reports and the webcast replay of this call. Finally, unless otherwise stated, all financial comparisons in this call will be to our fiscal year 2022 results. And with that, let me turn the call over to Jason.
Jason Blessing : Thank you, Carolyn, and welcome to our call today. I am pleased to report that our second quarter results beat expectations across the board. We exceeded guidance for total revenue, subscription revenue and professional services revenue. This was another strong quarter and underscores our commitment to driving profitable growth. Our Q2 SaaS metrics were also strong, driven by SaaS ARR, which grew by 40% year-over-year. In addition, our SaaS net dollar retention accelerated to 138% year-over-year. I am very proud of our team and the business model transformation that we are driving, especially in a difficult macro environment. Given this, I am often asked about the impact of the macro on our business, so I would like to proactively address this question. First, we serve 2 resilient end markets with secular tailwinds, and Life Sciences in particular is a naturally defensive vertical in times of macro uncertainty. Second, we believe that companies in both verticals that we serve are prioritizing IT investments that deliver tangible ROI and help companies respond to dynamic operating environments, both of which played to Model N's core value proposition. That said, during the quarter, we did see some customers applying more scrutiny to incremental spend, and in some cases, additional approvals were required to get deals done. Despite the challenging macro, our financial performance this quarter highlights our ability to execute while also delivering further margin expansion with adjusted EBITDA growing 39% year-over-year. We remain focused on finishing our business model transition and driving long-term profitable growth. In fact, several of our newer solutions are resonating now more than ever given the focus on profitability and increasing complexity of pharma regulations. Next, I'd like to share some of the business highlights from the quarter. Success in Q2 was driven by a healthy contribution from all areas of the business. We signed new deals, closed another large SaaS transition, saw numerous customer expansions, and we also enjoyed solid renewals. Starting with SaaS transitions. During the quarter, we signed Takeda, the largest pharmaceutical company in Asia and one of the top 20 largest pharma companies in the world. Takeda's decision to move to our SaaS solution was based on several factors, including the following: lower total cost of ownership; access to our automated testing suite, which helps customers validate a new Model N release; new regulatory updates, including those to support compliance with the Inflation Reduction Act; and access to over 30 new features that will drive immediate business improvements for Takeda. Takeda is the latest example of a longtime customer that sees value in our cloud offering and is renewing their partnership with Model N to help them maintain commercial and regulatory compliance in an increasingly complex operational environment. During Q2, we also expanded our footprint at Amneal Pharmaceuticals, a global company that provides a broad portfolio of generic and specialty pharmaceuticals that make healthy possible. Amneal recently acquired AvKARE to boost its generic business in the U.S. As a part of the team's operational efficiency initiative, Amneal deployed Model N to support the revenue management needs of AvKARE. This is the latest example of how Model N helps our customers execute on their business objectives, in this case, strategic M&A. During the quarter, we also signed several meaningful expansion deals, including at strategic customers such as Novo Nordisk, J&J and BMS. Turning to Business Services. We expanded our relationship during the quarter with an existing customer, who is also a leading vaccine provider, to support their new go-to-market partnership with a top 10 global pharma company. These 2 companies required a solution that could be quickly deployed to validate membership eligibility for a new product launch. Model N worked closely with both companies to design the solution, leveraging Model N's Business Services to support the integrated business process between the 2 companies. Our ability to work quickly with these customers in a creative way, leveraging our broad portfolio of solutions, demonstrates our ability to meet virtually any pharma revenue management use case. Turning to High Tech. In Q2, we signed a new logo, u-blox, which is a Swiss-based fabless semiconductor company that develops some of the world's leading IoT and satellite communication modules to support the industrial, automotive and consumer markets. u-blox is transitioning from a direct sales model to a channel sales network and needed a solution to enable them to manage their tremendous distribution partner growth. u-blox selected Model N for our industry-leading technology and expertise in delivering comprehensive deal and channel management solutions. With Model N, u-blox will be able to easily analyze key data sets like point-of-sale information so they can make more informed decisions on how to profitably manage their channel distribution business. We also had several High Tech expansions in Q2. One example is at Micro Commercial Components, or MCC, which produces high-quality semiconductors for the consumer and industrial markets. MCC expanded their product footprint by adding channel data management to support the growing demand of their various sales channels. We also expanded our relationship with Nexperia, AMD and other High Tech customers in the quarter. Turning to professional services. Our team exceeded expectations with a very strong quarter. The results of our professional services organization symbolized the strong demand for our mission-critical high-ROI solution, especially in the current macro environment as companies seek to drive bottom line improvement. Our professional services team continues to do a terrific job of getting new customers live on time and on budget. And 2 of the latest examples are Abbott Diagnostics and Edwards Lifesciences. Abbott Diagnostics is one of the early adopters of Model N in the med tech industry. This division of Abbott delivers diagnostic tests that are designed to increase accuracy and drive operational efficiencies. And if you've ever used a home COVID test over the last couple of years, it was most likely manufactured by Abbott. Abbott went live on our cloud platform, allowing their users across 9 countries to work from a centralized state-of-the-art revenue management platform. This project allowed Abbott to standardize their contracting approach, retire multiple customizations and dramatically increase system performance. Congratulations to Abbott and our professional services team on another critical milestone as we move all of our customers to the cloud. Another important go-live in the quarter was at Edwards Lifesciences, a med tech company that specializes in artificial heart valves and other offerings to improve cardiovascular health. Edwards also went live on time and on budget and is taking advantage of several new enhancements to our product to enable them to more efficiently run their business and get their life-changing products to the world. With an eye towards future growth, we also continue to cultivate a partner ecosystem around Model N. A recent example of this is the new strategic partnership with Impartner, a leading provider of channel management technologies in the High Tech vertical. Under the terms of this new agreement, Model N and Impartner will bring to market an integrated offering of Model N's current channel products with Impartner's partner relationship management and partner marketing automation solutions. This will enable high-tech companies to manage their partner relationships and accelerate revenue and profitability through their indirect sales channel. Also during Q2, a new study by Forrester Consulting revealed how improved channel data management leads to better collaboration and bottom line results. This study identified the need for improved channel data management solutions and highlights the importance of optimizing channel revenue within the semiconductor and electronic component manufacturing industries. Accurate channel revenue data is no longer a nice-to-have but instead is a strategic imperative in today's economic climate. Successfully leveraging channel data management solutions enables suppliers to make informed decisions on partnerships, hiring, operations and more, which leads to higher productivity, profitability and overall business performance. I encourage you to download this study from our website. Finally, in June, we will be holding Rainmaker, our 19th annual customer conference. I am excited to announce that this year's event will be held in Nashville. Rainmaker is a great thought leadership event and educational conference focused on Life Sciences and High Tech and will bring together hundreds of executives and industry experts from around the world. I am looking forward to the event and especially looking forward to being back together in person with our customers and partners. Let me conclude by saying that I'm pleased with our continued execution in an uncertain macro environment. Our team takes our DARE core values very seriously, which stands for Dream, Align, Respect and Excel. These values embrace building an inclusive workplace and a maniacal focus on customer success. Our reported Q2 results reflect this passion. And as we look ahead to the second half of the year, we will continue building a great company, delivering value to our customers, all while driving growth and improving profitability. With that, I'll turn the call over to John to discuss our Q2 financial results and provide guidance for the second half of the year. John?
John Ederer : Thank you, Jason, and good afternoon to everyone on the call today. As Jason noted, we delivered very solid Q2 results that exceeded all of our guidance metrics. And I was particularly pleased by our profit performance as adjusted EBITDA grew 39% versus Q2 last year. The transformation of our business to a SaaS model has been the key driver of our overperformance on both the top and bottom line. We posted very strong SaaS ARR and SaaS net retention metrics again this quarter, and growth in SaaS revenue is now overcoming the declines in our maintenance stream to drive our overall subscription revenue higher. Looking specifically at our financial results for the second quarter. Total revenue grew 18% to $62.6 million, which exceeded the top end of our guidance. Subscription revenue increased by 17% to $44.9 million and also exceeded the upper end of our guidance range. Lastly, professional services revenue grew by 18% to $17.7 million, which was well above the high end of our guidance as the team ran at a much higher-than-expected utilization rate. In terms of our profitability, please keep in mind that we'll be discussing non-GAAP numbers, and a full reconciliation of our results is provided in our earnings release. For the second quarter, total non-GAAP gross profit was $37.8 million, representing a gross margin of 60.3% versus 59.8% in Q2 last year, an improvement of 52 basis points. Non-GAAP subscription gross margin was 68% compared to 66.8% in Q2 of the prior year as SaaS revenue increased as a percentage of total subscription revenue. Non-GAAP professional services gross margin was 41% compared to 42% in Q2 last year. The higher-than-expected utilization in Q2 also drove overperformance on professional services margin. Looking ahead, we still expect professional service margins to normalize over the second half of the year and be in the mid- to high 30s range. Adjusted EBITDA for the quarter was $9.2 million, an increase of 39% from the second quarter of fiscal 2022 and well ahead of our guidance range. Adjusted EBITDA margin improved to 14.7% compared to 12.4% for the second quarter last year. Finally, non-GAAP net income was $8.6 million, an increase of 71% from Q2 of last year. And non-GAAP earnings per share was $0.22, which was $0.04 above the high end of our guidance. As I mentioned earlier, our SaaS business is hitting critical mass and starting to drive our overall results. For Q2, our SaaS ARR reached $125.8 million, which was an increase of $35.9 million or 40% versus Q2 of last year. In addition, trailing 12-month SaaS net retention hit 138% in Q2, reflecting our ability to successfully cross-sell and upsell customers. Over the last year, our SaaS ARR growth rate has been accelerating from 17% in Q2 a year ago to 40% this quarter as we've been benefiting from SaaS transition activity. The cross-sell and upsell activity that occurs around SaaS transitions has also boosted our net retention number, and we have seen a similar acceleration of that metric over the last year. As we've noted on our last couple of earnings calls, SaaS revenue is increasing as a proportion of our total subscription revenue, and that trend continued in Q2 with SaaS revenue representing 69% of our total subscription revenue as compared to 66% in Q1 and 60% for fiscal 2022. This mix shift is benefiting our overall subscription growth rate as well as our subscription gross margin. In terms of the balance sheet, we ended the second quarter with $270.6 million in cash and equivalents, which was up $95.4 million from Q1. During the quarter, we added $80.3 million in net proceeds from the refinancing of our convertible debt, and we also generated $12.1 million in cash flow from operations. Accounts receivable increased to $76 million, which was up $9.9 million sequentially versus Q1. The increase in accounts receivable was due to record-high invoicing as anniversary billings for several large SaaS transitions occurred during the quarter. Current deferred revenue of $70.8 million was up $3.7 million sequentially versus Q1 and up $13.3 million versus last year. At a high level, we've been seeing increases in SaaS deferred revenue, partially offset by declines in maintenance deferred revenue. In addition to deferred revenue, we also focus on RPO, or remaining performance obligations, as an indicator of the future predictability of our business. For Q2, our total RPO was $338.4 million, which was up 19% on a year-over-year basis. The current portion of our RPO balance was up to $146.1 million, representing growth of 18% year-over-year. While the growth in our current RPO has remained consistent over the last couple of years, the growth rate of our total RPO has slowed and is now more in line with the current RPO. This is primarily due to SaaS transition deals over the last few years, which tend to be longer-term commitments and add extra years to the total contract value reflected in our total RPO for previous periods. Looking ahead to our guidance for the remainder of the year. Our outlook reflects the uncertainty in the macro environment, which we feel is prudent. We also had an unprecedented customer bankruptcy that will be a small headwind to subscription growth over the second half of the year. In summary, for Q3, we expect total revenue to be in the range of $61.5 million to $62.5 million, with subscription revenue in the range of $45 million to $45.5 million and professional services revenue in the range of $16.5 million to $17 million. We expect adjusted EBITDA to be in the range of $9.5 million to $10.5 million. And for non-GAAP earnings per share, we expect a range of $0.23 to $0.25 per share based on a fully diluted share count of approximately 38.9 million shares. For the full year of fiscal 2023, we are raising our outlook for total revenue and adjusted EBITDA, reflecting the strong performance in Q2. For subscription revenue, we are tightening the range and increasing the bottom end of our guidance. In summary, for fiscal '23, we expect total revenue to be in the range of $244 million to $246 million, with subscription revenue in the range of $180 million to $181 million and professional services revenue to be in the range of $64 million to $65 million. We expect adjusted EBITDA to be in the range of $39 million to $41 million and non-GAAP EPS to be in the range of $0.94 to $0.99 per share based on a fully diluted share count of approximately 38.9 million shares. Some additional context regarding our guidance for the remainder of the fiscal year. First, our guidance reflects the ongoing transition of our business model, which is driving strong SaaS ARR growth but partially offset by steeper declines in maintenance revenue. We continue to expect maintenance revenue to decline by 30% or more in fiscal 2023. Second, while we do not provide specific guidance on SaaS ARR, as we've discussed on our last several calls, we expect more moderated growth in Q3 and Q4 as the year-over-year comparisons get increasingly more difficult. We still expect SaaS ARR growth to be above our long-term target of 20% but below the elevated levels that we have seen over the last few quarters due to SaaS transitions. Third, our non-GAAP results for the first half of the year and our outlook reflect the impact of the refinancing of our convertible debt in the second quarter, including adjustments to our accounting treatment of the convertible debt. More specifically, we have elected to settle both the new 2028 notes and what remains of the 2025 notes using the combination settlement method. To give you a consistent view for your models, we have provided an updated version of our EPS calculation and shares outstanding for Q1 that is consistent with our Q2 report and our outlook for the remainder of the year. You can find this table in the supplemental IR deck that is posted on our website. In summary, we're very pleased with our execution in Q2 and believe that we are on track for the year. We continue to build strong momentum in our SaaS business, as evidenced by our SaaS ARR growth and our SaaS net retention, and we remain committed to continued improvement on profitability. With that, I'll turn the call over to the operator for any questions. Operator?
Operator: [Operator Instructions] Our first question comes from Joe Vruwink with Baird.
Joseph Vruwink : This might be a tricky question to answer, but just given some of the updates you're making around what you know and also what you're planning, is it possible to split those 2 factors up just as it relates to the FY '23 forecast changes today? And I guess where I'm going with the question, it seems like you know of some things like you alluded to a customer bankruptcy. But on the other hand, just looking at the cRPO trend, it really doesn't seem like there's been much weakness yet, and in fact, that still looks pretty good. So just kind of trying to distinguish between the different variables.
John Ederer : Yes. Joe, this is John speaking. So I think it'd be difficult to kind of break down and parse it in the way you've asked specifically. But I think just generally speaking, when we looked at our forecast and we looked at the macro environment, we felt like it was prudent for us to focus on what we can see today, and that's our typical method when we provide our guidance. And so when we looked at the current uncertainty in the macro environment, a small headwind coming from a customer that has gone bankrupt, we folded all of that into our outlook and provided the guidance that we did. I would note that for total revenue and adjusted EBITDA, we did increase our outlook for the year, and we will continue to focus on driving profitable growth, whatever the economy may bring.
Joseph Vruwink : Okay. That's helpful. And then maybe just looking at your investor materials, the update this quarter. I noticed that market sizing received a change, and there's a bit more detail in just how your market opportunity has evolved since the 2018 Investor Day and specifically maybe some opportunities on the international front. Just a question. You're calling out that your markets are growing at a high teens pace. Is there any reason, once the Model N transition is over, that subscription growth isn't at a similar high teens pace? And what sort of investment might be needed if more opportunity is emerging on the international front? What sort of investment might be needed to go after it effectively?
Jason Blessing : Joe, this is Jason. Thanks for the question. I'll answer that. And you are correct. Over the last 5-plus years, our total addressable market has changed, and there's been a few variables in there. One is the pricing power and our ability to grow as this market grows. Secondly, the footprint of the company, as you point out, has changed from being predominantly focused on U.S.-headquartered pharmas and pharmaceutical companies and their operations to now expanding and having a small team in Europe. That's really focused on bringing our Global Tender Management, Global Price Management and international launch excellence products to market there. And then we've also done some things like the M&A in Business Services that further expanded our TAM as well as build new products. So as a company, we have not been static since that last update, and as you aptly noticed, have been starting to get some of this new thinking out into the environment through some of our disclosures. I would also say that some of the investment that you've seen incremental in sales and marketing and product has also been to support that growth. But the best way to think about it is it's not a step change in expenses. It's really an investment to take advantage of these opportunities within our current framework and investment levels.
Operator: Our next question comes from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach : Can you talk about how you're feeling about completing the SaaS transition by the end of the year and then also, importantly, how you see the go-to-market sales motion as you focus more on upsell and cross-sell kind of shifting to the next phase of growth?
Jason Blessing : Yes. Thanks for the question, Craig. So a couple of things. First of all, we still feel really good about our progress on SaaS transitions. And we expect by December of this calendar year, we'll be substantially done with those transitions, or any remaining customers will be currently in flight on projects to get them current. With respect to the cross-sell, upsell motion, as we've talked about in the past, SaaS transitions have been a great opportunity for us to reengage with customers, retell the Model N story, talk about some of the new products that we've built and brought to market, particularly things around 340B, State Price Transparency Management, just to name a couple. And that has actually really helped us perfect and improve upon our cross-sell, upsell motions in the customer base. And in some cases, we've seen SaaS transitions actually drive incremental usage and incremental product footprint in an account. And in other cases, the SaaS transition has been the catalyst to set up a multiyear road map with that customer to consume other products as they get live and in the cloud and then are in a better position to take new products.
Craig Hettenbach : Got it. And then just as a quick follow-up, the comments in the prepared remarks about kind of sales cycle. And I think up until this point, you've been mostly immune in terms of some more macro disruptions and headwinds, and just was looking for a little bit more context maybe around just the breadth of what you're seeing out there. Is it certain customers or anything else you'd call out in terms of how you're factoring in the macro to your outlook?
Jason Blessing : Yes, I'll take that one as well, Craig. So obviously, on every public earnings call these days and probably for the last couple of quarters, customers -- or excuse me, companies are getting asked about the macro. And so for me, I wanted to just proactively address that topic. And I think the best way to maybe add a little bit more color for you is to talk a little bit about each of the verticals. And we feel that Life Sciences continues to be very healthy. It's been -- shown a lot of resilience through the pandemic and through the current cycle that we're in. Some of the things I hear from customers and industry people there are we've got this trifecta of compliance issues our customers are dealing with between the Inflation Reduction Act, State Price Transparency rules, 340B, et cetera. And so that vertical in particular, we feel, which is 85% of our revenue, is pretty resilient. We did see High Tech become a little more cautious in the first half of the year and heard customers saying, "Hey, we need to go through additional deal approvals to get a project launched." And we've heard that on and off throughout the last couple of years, but it did seem that High Tech buyers in general had a little more conservatism in the first half of this year. That said, we do -- even in High Tech, we do see some nice green shoots, particularly in semiconductor companies that are benefiting from the semiconductor backlog, companies that are developing new innovative products that are in high demand. So again, us commenting on it was really to take the question proactively because we know it's getting asked of every company today and just wanted to proactively provide some color.
Operator: Our next question comes from Nick Mattiacci with Craig-Hallum Group.
Nicholas Mattiacci : This is Nick on for Chad Bennett. John, maybe you could just clarify the level of migration activity you expect in the second half of the year. Just looking at the net new SaaS ARR in the second half, it looks like that could be down quite a bit year-over-year. Is this just due to the difference in transition contribution year-over-year? Is there kind of a way we can think about non-transition net new SaaS growth in the back half of the year?
John Ederer : Yes. Those are some good questions, Nick, and I'll try to give you some additional color beyond our comments in the script. But I think when we look at SaaS ARR and the outlook in particular for the second half of the year, keep in mind that a big driver for what we're talking about in the year-over-year growth rate is really due to Q3 and Q4 last year. And so we had a lot of SaaS transition activity start to roll through the model last year. It's continuing to some extent this year. But when we look at those year-over-year comparisons, the hurdles get a lot harder, hence the commentary that we've provided. And I think if we step back from this, what we're really trying to do is just be transparent with all of you. We know this metric gets a lot of attention, and it's been accelerating, and we wanted folks to understand the dynamic that was at play underneath the numbers.
Nicholas Mattiacci : Got it. And then just on the guidance, specifically for what it implies for Q4 professional services revenue. It looks like that line item is expected to decline both year-over-year and even more so sequentially from Q3. Can you just help us to understand what's driving that expectation for the decline?
John Ederer : Yes. There is typically a little bit of seasonality in our professional services business in Q4 with vacation cycles. And so from Q3 to Q4, I think if you look at the pattern last year, you'll see the same thing.
Operator: Next question comes from Ryan MacDonald with Needham.
Matthew Shea : This is Matt Shea on for Ryan. Congrats on a strong quarter. Wanted to follow up on the macro question. So wanted to confirm. It sounds like High Tech is maybe a bit more pressured than Life Science right now. Has that been a consistent trend? And then with that in mind, how do you see the Impartner partnership helping to unlock maybe some of that deal scrutiny or hesitation in the High Tech market and unlock some of those more pressured conversations?
Jason Blessing : Yes, Matt, it's a great question. So you are right. I mean kind of consistently with what we've talked about over the last 2 or 3 years from the pandemic and now into a continued uncertain macro, we have definitely seen more durability in Life Sciences in terms of demand and buyers' willingness to kick off large projects with us. So think of it as the relative comparison of strength between the 2 still exists, and we are, again, seeing a little bit more conservativeness in High Tech, at least in the first half of this year. That said, the Impartner partnership reflects our -- one, our commitment to High Tech, and two, the fact that we're excited about that vertical and believe it has nice secular tailwinds behind it even after we get out of this current macro environment that we're in. So the Impartner relationship was more of an eye towards the future and driving growth and partnering with another company that has very complementary offerings to us. And also any time you have a partnership like this, it's a force multiplier for you. We'll be selling side by side with them, sharing leads and pipeline in the field. So again, I think it has the opportunity to help today, but even more importantly, help us long term as the sector and the economy recover.
Matthew Shea : Yes, makes sense. Appreciate that. And then given that you guys are hitting critical mass in the SaaS transitions, you've talked about as you go through the year, more discretionary spend can shift towards new logos or cross-sells, upsells, more of a balanced sales capacity approach. Are you seeing those discretionary dollars unlock? And how is that kind of informing some of the investments you plan to make for the back half of the year and into next year to hit on those pillars of new logos, white space and international expansion?
Jason Blessing : Yes, it's another great question. So we've actually been investing in our sales capacity over the last 2 to 3 quarters. And as I've talked about in prior quarters, we've had a slight bias towards white space because it's a large near-term opportunity. As I said in the answer to the prior question, SaaS transitions are a great catalyst as well for cross-sell, upsell opportunities. So we've certainly had a bit of a bias towards customer base sales capacity investment over the last few quarters. But that has changed, and we've definitely been hiring in our new logo team, really with an eye towards growth over the next couple of years and getting those new sales professionals on board this year and really focused on the remaining large accounts that are out there in both Life Sciences and High Tech. And I'm excited about that team and the new capacity that's starting to come online as we move into the back half of the year and look forward to our fiscal '24.
Operator: Our next question comes from Matt VanVliet with BTIG.
Matthew VanVliet : Maybe digging a little deeper on some of the cross-sell opportunity, a number of products around State Price Transparency and other similar sort of regulatory components. I think you mentioned the Inflation Reduction Act as well. Curious on any kind of information you can share with us in terms of take rates or overall sort of market penetration of maybe that as a basket of modules, not maybe getting into individual ones. But how do you feel like that ability to cross-sell that regulatory required reporting is going in your customer base? And what is sort of the upper bound of penetration that you think is reasonable?
Jason Blessing : Yes, it's a great question, Matt. So I mean just as I guess as a reminder, the 3 -- broadly speaking, the 3 cross-sell, upsell opportunities have or sales motions that we have in the customer base are selling new products, moving into new divisions and moving into new geographies. Right now, I'm seeing a lot of great teamwork between our teams in the U.S. and our team in Europe and teaming on deals where we might be -- a customer might be using Model N in the U.S., and there's an opportunity in Europe to roll out Global Price Management, Global Tender Management. So I've been happy with how that's going. And I would also characterize it as early days and not anything that's going to drive growth this year but certainly over the next couple of years. And then in terms of new products, so Inflation Reduction Act is a bit of literature that was published last summer, and we're actually still working with industry leaders and our customers to determine the impact of that. Probably not a new product for us but definitely a secular tailwind as people need to be current or using a product like Model N to comply with that act as it starts to come to fruition, most likely at the end of this year and '24. And then 2 of the products that -- kind of thinking again in that trifecta of regulatory drivers in the environment right now, 340B and State Price Transparency Management are in the conversation with every prospect, just about every prospect and customer. State Price Transparency Management, we've seen a good take rate on that. I mean that product came out a little over a year ago, and we've got double-digit customers on that product now. 340B is relatively early compared to State Price Transparency Management. We worked with a couple of customers, built the product. They're live and in production and referenceable now. And so now we're really trying to capitalize on that to drive success with other customers and prospects now that the product's GA.
Matthew VanVliet : All right. Very helpful. And then when you look at the Business Services group and some of the success you have maybe pushing into areas of your existing customer base that maybe under Deloitte's tutelage, they weren't really going after more in the mainstream market in the enterprise level, are you still seeing traction for that? Or have budgets maybe dried up a little bit on something a little more comprehensive on that front? So just kind of what is the outlook maybe for the second half of the year? And then longer term, how much growth sort of in your existing customer base do you feel like you can penetrate?
Jason Blessing : Yes. What I would say, Matt, is again, as you move into large pharma companies, their ability to invest right now and the overall health and willingness to invest still feels really good. And in the script, I mentioned the case where we have one of our large vaccine providers and a top 10 pharma company that are partnering to bring a product to market. And they actually selected our Business Services offering to help them with some of the initial go-to-market and determining who's eligible to participate in the program and how the pricing works. And I think right there is a good example of 2 industry leaders coming together and coming to us as their strategic partner to help figure out how we were going to enable this go-to-market. And the ability to move quickly with Business Services really resonated with them. And so I think it's just another proof point of Business Services. That value prop does resonate upmarket where, again, the inclination to invest still seems pretty healthy.
Operator: Our next question comes from Joe Meares with Truist Securities.
Dominique Manansala : This is Dominique Manansala on for Joe. So you've noted that one of the key drivers to your subscription growth has been providing high ROI and mission-critical solutions. So what is the typical payback period for a new customer on your platform? And do you have a range there that you could share?
Jason Blessing : It's interesting. We always work with -- every one of our sales cycles, whether you're in High Tech or Life Sciences, is a highly ROI-driven sales cycle. Customers are sometimes a little reticent to share all of that because it can get into pricing negotiations. But I have heard with pretty strong consistency across our customers that whether they're implementing Model N for the first time or implementing one of our new products like 340B vigilance or State Price Transparency Management that the ROI is usually within a year.
Dominique Manansala : Great. And one more for me. So you noted last quarter that 7 of the top 10 global vaccine providers are Model N customers. Were you able to add any more of these in the quarter? And if not, are you engaging with them? Or have -- do you have plans to engage with the remaining 3 anytime soon?
Jason Blessing : Yes. I think of it more in terms of our -- the top 100 pharma companies in the world, and some of those happen to be vaccine providers, and some aren't. And so certainly for the top 100 list and even beyond that, customers or prospects who are not currently a customer, we would most likely have all of those assigned out in a territory and a new logo rep pursuing them.
Operator: [Operator Instructions] Our next question comes from Rishi Jaluria with RBC.
Rishi Jaluria : Nice to see a continued resilience in the business. I wanted to ask a 2-part question around generative AI. Let me start with the first part, which is really better understanding how you're thinking about your near-term strategy around generative AI because as we see it, you have a strong market leadership position. You've got a lot of data. There seems to be a lot of kind of automation that you can offer and unique insights. Maybe if you can walk us through how you're thinking about your generative AI strategy. And I don't want to spoil anything that we might expect at Rainmaker, but anything there would be helpful. And then I've got a quick follow-up.
Jason Blessing : Yes. I mean it's certainly a transformative technology, and we're looking at a variety of different ways to weave it into our product road map. And I hear a lot of companies talking about how they may use it in the future, but I think what's exciting about Model N is to talk about how we're using it today. And we've got 2 great use cases. One is a product called Global Launch Excellence. And Global Launch Excellence allows us to ingest all of the complex pricing rules that exist in EMEA, which are called reference prices. And really, the best way to think about it is in Europe, the price of a drug in one country is most likely the derivative of how it's priced in another country. And so Global Launch Excellence takes all of these dependencies into account and runs complex simulations that outline the most profitable country launch sequence. And then also for products that are in market, we have a real-time AI engine that can take a look at, let's say, a discount that you may be considering in Italy, the impact of the price of that drug in Greece and do it in real time. So country managers and European market access teams can make more thoughtful decisions on how they may or may not discount on existing products that are in market. So again, that's a great example of where we're using it today. Our product, 340B vigilance, which we've talked about on several of our calls, is another interesting use case, I think, where we are taking the entire database of prescription scripts that customers' products are dispensed against, comparing that to the original contracting vehicle and then flagging patterns in the data where we think there might be fraud where people are erroneously claiming rebates or other incentives or people who are trying to buy accidentally under the wrong contract. And so that's another example of where we're using it today. And again, I think those are 2 important ones to point to because a lot of people talk about how they could be using the technology in the future and we're actually using it today. And a couple of those -- both of those products are examples of ones that really resonate well with our customers.
Rishi Jaluria : Wonderful. That's really helpful. And then maybe kind of as a follow-up on the generative AI side. When you're talking to your customer base, what are you seeing from them in terms of how they plan to better integrate generative AI in their processes? I know we've seen some of the headlines of drugs going through clinical trials that have been developed entirely by generative AI, for example. But love to kind of hear how -- what you're hearing from customers and how you think that can maybe shape your strategy or your business model over the near or medium term.
Jason Blessing : Well, I'm not really qualified to talk on the science side of how customers may use it, but I certainly think, again, giving good -- 2 good examples of how it's being used today. I think in market access, one of the other areas that I hear from customers and that we're also working on is how can generative AI go back and look at, in some cases, maybe decades of contracts and pricing data and make recommendations to customers on -- or make recommendations to market access groups on how to better structure contracts going forward in the future. In many cases, if you're a drug manufacturer and you're working with a big pharma -- excuse me, a big payer provider, sometimes those contracts can be literally thousands of pages long. And so being able to draft a contract or at least a contract shell that can be then used for a negotiation is one of the next things on the road map that we hear commonly from customers.
Operator: Our next question comes from Brian Peterson with Raymond James.
Johnathan McCary : This is Johnathan McCary on for Brian. I just have one today. So how do you guys think about investments in TAM-expanding products? Do you think that's going to be a key growth driver for you guys post cloud transition? Or are you kind of comfortable with the opportunity in terms of white space within the existing product set and given the increasingly complex regulatory landscape to the markets you cover?
Jason Blessing : Yes. It's a good question, Johnathan. I mean I think the answer is both. I mean we've still got a really meaningful amount of white space with our existing customers in terms of selling existing products, expanding into geographies and other divisions. And then we still have an interesting new logo greenfield amount that's left. So if we were to do nothing, we actually feel really good about -- with our current product portfolio and footprint, we feel good about what we could drive. But certainly, new products and new geographies are the lifeblood of the company and are what really drive that growth over a longer-term horizon over the next 3 to 5 years.
Operator: There are no further questions at this time. I would like to turn the floor back over to CEO Jason Blessing for closing remarks.
Jason Blessing : Well, thank you, operator, and I'd like to thank everyone for joining today. We appreciate all of the engaged questions as well as your support. And once again, I'd also like to thank all of our employees, customers and partners for supporting us and partnering with us to drive another strong quarter. So thanks again, and have a great night.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.